Operator: Welcome to Broadcom Inc.’s Fourth Quarter and Fiscal Year 2018 Financial Results Conference Call. At this time for opening remarks and introductions, I would like to turn the call over to Beatrice Russotto, Director of Investor Relations of Broadcom, Inc. Please go ahead, ma’am.
Beatrice Russotto: Thank you, operator and good afternoon everyone. Joining me today are Hock Tan, President and CEO and Tom Krause, Chief Financial Officer of Broadcom. After the market closed today, Broadcom distributed a press release and financial payables describing our financial performance for the fourth quarter and fiscal year 2018. If you did not receive a copy, you may obtain the information from the Investors section of Broadcom’s website at broadcom.com. This conference call is being webcast live and a recording will be available via telephone playback for 1 week. It will also be archived in the Investors section of our website at broadcom.com. During the prepared comments section of this call, Hock and Tom will be providing details of fiscal year 2018 results, guidance for fiscal year 2019 and some commentary regarding the business environment. We will take questions after the end of the prepared comments. Please refer to our press release today and our recent filings with the SEC for information on the specific risk factors that could cause our actual results to differ materially from the forward-looking statements made on this call. In addition to U.S. GAAP reporting, Broadcom reports certain financial measures on a non-GAAP basis. A reconciliation between GAAP and non-GAAP measures is included in the tables attached to today’s press release. Comments made during today’s call will primarily refer to our non-GAAP financial results. So with that, I will turn the call over to Hock.
Hock Tan: Well, thank you, Bea and thank you all for joining us today. Well, as you saw, we closed the fiscal year on a very high note. Consolidated net revenue for the fourth quarter fiscal ‘18 was $5.45 billion, a 12% increase from a year ago and EPS came in at $5.85, a 27% increase from a year ago. Importantly, free cash flow was $2.53 billion or 46% of our net revenue. I would like to provide you more color on the top line today and I have a lot to cover today actually. Please note fourth quarter results do not include any contributions from CA. Starting with wired, on the quarter results, starting with wired, revenue was $2.2 billion, growing 3% year-on-year and wired segment represented 41% of our total revenues for this quarter. Looking deeper though fourth quarter wired results reflect very strong year-on-year growth for our networking and computing offload businesses driven by robust demand from the cloud data center markets, as well as traditional enterprises. Networking and computing offload represented over two-thirds of our wired segment in the quarter and grew 22% year-on-year in the quarter. This is on the back of growing 10% year-on-year in the third quarter. So, this part of the wired segment continues to be very robust. On the other side as anticipated, cyclical headwinds in certain parts of our broadband business reflecting weak carrier spending in those areas continued to impact this part of our wired business in the fourth quarter. As a result, broadband was down year-over-year again in the fourth quarter and offset partially the strong growth from data center spending. Turning to enterprise storage, revenue was $1.3 billion, representing 23% of revenue. And consistent with what we experienced in wired networking businesses, robust enterprise IT spending drove over 96% year-on-year revenue increase. Now, of course, this includes contributions from Brocade, which we acquired about a year ago. But even if we strip out Brocade, enterprise storage grew double-digits year-on-year in the quarter. Moving on to wireless, revenue was $1.7 billion, which was down 5% year-on-year. The wireless segment represented 31% of our total revenue. And wireless revenue however was somewhat better than our expectations for the fourth quarter as we benefited from upside volumes of legacy phone generations and our North American OEM customer. And finally, our last segment, industrial. In the fourth quarter, the industrial segment represented 5% of our total revenues. Distribution re-sales which is how industrial outsold for us continued to be strong contributing to high single-digit year-on-year growth in the industrial business. With that now, let’s talk about the segment performance for the full fiscal year 2018, which interestingly enough could be in stark contrast to the Q4 results I just articulated. Wired for us in fiscal 2018 was up 1% as networking expanded while broadband was down. Meanwhile, enterprise storage was significantly supported by Brocade as well as strong organic growth in our server storage connectivity business and industrial performed extremely well, up 12% helped by healthy macro backdrop. Finally, despite all the quarterly fluctuations, wireless was actually up 20%. So, what’s interesting and what I want to highlight when you step back from quarterly results and look at the annual performance, we had a great year. Our revenues hit a new record high growing 18% year-on-year to nearly $21 billion for fiscal ‘18. This clearly demonstrates how our diverse set of businesses drives stability and sustainability in our consolidated revenue despite quarterly and even biannual volatility in specific segments. With this in mind, we plan to move away from quarterly guidance to annual guidance going forward. Annual goals and guidance reflect we believe more accurately how we manage our business and also aligns very well with how management and employees in this company are measured. In addition, viewing our business broadly, you can see we have created over the years, organically and through acquisitions, a substantial core revenue stream in semiconductors based on technology enabling connectivity solutions across a broad set of end-markets. We continue to remain focused on the sustainability and growth of this core business. But in addition, with our acquisition of Brocade, we created a complementary revenue stream to our semiconductors solutions that we are now calling infrastructure software. With the acquisition of CA now, we will grow this revenue stream and build upon it through acquisitions consistent with our business model. As a result going forward, our two primary segments will be semiconductor solutions and infrastructure software. And so for fiscal 2019, this coming year, the outlook for business is as follows. In the semiconductor solutions segment, we expect continued robust demand from cloud customers with the RAM of next generation Tomahawk 3 stretchers and from the launch of our next generation routers, Jericho 2. We also expect to see recovery of spending by carriers, operators in cable as well as in communications as we expect the broadband market recovery to start to progress through the year. We have already seen that happen this quarter. Storage, we believe will be stable relative to fiscal 2018. And as we previewed last quarter, we believe the reset in our wireless business in the first half of 2019 from share loss in the current phone generation will be followed by a substantial recovery in the second half as we take share back for the next generation. So while there will be lots of puts and take here, our outlook for the semiconductor business is for modest revenue growth in 2019. This maybe somewhat dampened relative to our long-term mid single-digit growth expectation by wireless. Now, turning to infrastructure software segment, before providing our outlook, I should take a few minutes to outline the substantial changes we are making to the CA business model. We expect these changes to result in a dramatically more profitable revenue base which is more aligned to the rest of Broadcom and that we expect will grow. First and foremost, gone are the days of trying to land new products with new customers and I am referring to software, enterprise software. We are focusing all our attention on renewing existing products with existing mainframe-centric customers, customers that represent virtually all of the world’s largest enterprises and largest spenders on IT. We are also targeting expansion opportunities within this core mainframe customer base. The cost of running this renewed and expanded model will be substantially less than the legacy land-at-all-cost model and importantly renewing and expanding plays to CA’s strengths. Let me explain. Today, over 70% of CA’s revenues are derived from its top 500 accounts. In almost all cases, these top customers have been licensing CA mainframe products for more than a decade and oftentimes several decades. CA contracts with its customers are primarily broad-based, multiyear license agreements and include a term license with maintenance for mainframes. At this same customer, enterprise products are sold, but sold as perpetual licenses with maintenance and data in the license agreements. At each of our top customers we have two primary objectives: 1) we want to expand our efforts on mainframe and make sure that we are realizing the full value that our mainframe tools are delivering to our customers. And as we discussed on the prior call, usage as defined by MITS has been growing at double-digit rates at all these top accounts. Logically, we are now more focused, because of that on pricing mainframe based on consumption. We also feel there is a huge opportunity for customers to save money by leveraging our broad mainframe portfolio to drive more conversions to CA tools. Going on to the second objective, we really want to expand our enterprise software products within the same top accounts. Now, it is true that lower costs and lighter weight SaaS alternatives have been creating challenges for CA for sometime in the enterprise software market. What’s interesting is that CA actually has very highly rated, in fact Gartner upper right hand Magic Quadrant categories for enterprise software on the end for enterprises. While we are very well suited to the private cloud IT environment of the largest enterprises, these enterprise software are just too expensive relative to SaaS. So, moving forward, we are growing away to move away from the inflexible, perpetual license model for enterprise software to an enterprise-wide all-you-can-eat license for all of our core accounts. By doing this, we expect to remove the friction caused by selling expensive upfront perpetual licenses so that the incremental costs for our customers to expand the use of enterprise products will be highly competitive relative to SaaS-based alternatives. Bottom line, we are adopting a fully ratable subscription model for the Broadcom software business. This new business model we believe plays to our strengths, focusing on the largest 500 customers tied to mainframes with the ability to up-sell enterprise software competitively using an all-you-can-eat subscription based model. We expect this transition though to take a couple of years given the timing of contract renewals. But once completed, we expect revenues to stabilize at over $3.5 billion annually and grow from there. And to support that revenue base, we do not expect to spend more than $900 million per year. And as a result, we expect to achieve more than $2.5 billion per year in operating profitability from the CA business once we go through this transition. We are well underway today with the CA restructuring and the integration process, including announcement of the Veracode divestiture to Thoma Bravo and the outsourcing of the CA services business to HCL. So, with that as background, let me talk about our outlook for the infrastructure software segment in 2019. Now, SAN switching, private channel SAN switching here performed beyond our expectations in 2018 on the back of very strong enterprise demand as well as meaningful share gains. While we expect to continue to see healthy demand, we do not expect in this forecast to have this sustained through 2019. Furthermore since we are moving mainframe and enterprise software products to a fully ratable revenue recognition model and just focusing on the top 500 accounts, we expect a reset in the CA revenue starting Q1 2019. As a result, our revenue outlook for the infrastructure software segment for 2019 will be approximately $5 billion. Combining with semiconductor solutions, in summary, we are forecasting consolidated revenue to be approximately $24.5 billion fiscal 2019. This will be to some to repeat driven by very stable semiconductor business that will be complemented by an infrastructure software business that we are rapidly building up. Thank you. Tom?
Tom Krause: Thanks, Hock and good afternoon everyone. My comments today will focus primarily on our non-GAAP results from continuing operations, unless otherwise specifically noted. Let me walk through our results for the fourth quarter of fiscal 2018. Fourth quarter net revenue was $5.45 billion ahead of the midpoint of guidance. Our gross margin from continuing operations was above the high-end of our guidance at 68.4% as we benefited from a more favorable product mix in the quarter. Operating expenses were slightly lower than expected at $863 million. As a result, we achieved record profitability in the quarter. Operating income from continuing operations was $2.86 billion and represented 52.5% of net revenue. Adjusted EBITDA was $3.02 billion and represented 55.4% of net revenue. This figure excludes $132 million of depreciation and the company delivered $5.85 of EPS in the quarter off of a $435 million weighted average fully diluted share count. This represents 27% EPS growth compared to the same quarter last year. Working capital, excluding cash and cash equivalents, increased approximately $105 million compared to the prior quarter due primarily to an increase in receivables. This increase was driven by seasonally higher shipments in the last month of the quarter. In addition, we spent $106 million on capital expenditures. As a result, we had record free cash flow from operations at $2.53 billion or 46% of revenue. This represents 47% growth in free cash flow from Q4 of 2017. In the quarter, we returned $2.26 billion to stockholders, including $723 million in the form of cash dividends and $1.53 billion for the repurchase of 6.4 million AVGO shares. We ended the quarter with $4.3 billion of cash, $17.5 billion of total debt, $408 million of outstanding shares and $432 million of fully diluted shares outstanding. New, let me turn to our fiscal year 2019 non-GAAP guidance. We do intend to update our annual guidance on our quarterly earnings calls throughout the year. And as normal, this guidance is for results from continuing operations only. As Hock discussed, net revenue for fiscal 2019 is expected to be approximately $24.5 billion, including approximately $19.5 billion from semiconductor solutions and approximately $5 billion from infrastructure software. IP licensing is not expected to generate a material amount of revenue. Operating margins are expected to be approximately 51%. I would like to note post-CA integration restructuring we do expect to move closer to 55% operating margins in 2020. Net interest expense and others expect to be approximately $1.25 billion and reflects maintaining a target cash balance of approximately $4 billion and servicing total debt outstanding of approximately $37 billion following the close of the CA deal. This forecast does not contemplate any debt pay-down in fiscal year 2019. The tax rate is forecasted to be approximately 11% and includes a slight negative impact from the CA acquisition. Depreciation is expected to be approximately $600 million. CapEx is expected to be approximately $550 million. As a result, free cash flow from continuing operations is expected to be approximately $10 billion. And finally, stock-based compensation expense is expected to be approximately $2.1 billion. Now, this is a substantial increase in our stock-based compensation expense and let me take a moment to explain. We are implementing a special broad-based multiyear equity award program for our employees, including our new CA employees. Each multiyear equity award will vest on the same basis as four annual equity grants made on March 15 of each year beginning in 2019. And it is expected that a maximum of approximately 31 million shares of common stock in aggregate will be issued in vest over the next 7 years. This is the same number of shares in aggregate as we would have expected to grant over the next 4 years annually. The spike in the 2019 stock-based comp will start to come down in 2020 and declined from there back to our normal level by 2022. So in summary, really this is an accounting dynamic that impacts the stock-based comp in 2019. We do believe providing 4 years of equity grants upfront provides clarity regarding future compensation that creates a powerful retention incentive in an otherwise tight labor market and a sharpened focus on long-term stockholder value creation. In addition, it allows us to maximize the use of the remaining authorized share reserves under our 2019 Avago equity award plan, which unfortunately is expiring in 2019. As broad-based employee stock ownership is a fundamental tenant of our company, it is important that we continue this legacy while our current equity plans enable us to do so. I would note couple of things: one, Hock is not participating in this program and as previously disclosed, will not receive another equity grant until at least 2021. In addition, for executives 50% of the awards are PSUs, the vesting of which is tied to total shareholder return similar to our prior annual awards to executives. Finally, no further annual grants are planned for employees, who receive this award until at least 2022. Now, let me turn to capital allocation plans before we open the call for questions. Consistent with our capital allocation strategy, we are focused on returning approximately 50% of our prior year free cash flow to stockholders in the form of cash dividends, with the balance being allocated to a combination of stock buybacks and acquisitions. In addition, we plan to also continue to use our balance sheet to fund acquisitions while focusing on maintaining our investment-grade credit rating. With that, on the dividend based on approximately $8.2 billion of free cash flow that we generated in fiscal 2018, we are increasing our target quarterly cash dividends starting this quarter to $2.65. This constitutes an increase of 51%. We plan to maintain this dividend payout throughout the year subject to quarterly board approval, which means we plan to pay out over $4 billion in cash dividends in fiscal 2019. Consistent with our capital allocation policy, we will reassess the dividend at this time next year based on our fiscal 2019 free cash flow from operations. Now, given the dilution stockholders are bearing from the multi-year grant and given the free cash flow yield that Broadcom is currently generating, we are also budgeting to return an additional $8 billion to stockholders through stock buybacks in fiscal 2019. Coupled with the dividend, this means we are planning to return approximately $12 billion to stockholders in fiscal 2019, which constitutes all of our projected free cash flow, plus the excess cash that we have on our balance sheet today. That concludes my prepared remarks. During the Q&A portion of today’s call, please limit yourselves to one question each so that we can accommodate as many analysts as possible. Operator, if you could please open up the call for questions?
Operator: Thank you. [Operator Instructions] Our first question comes from Vivek Arya with Bank of America Merrill Lynch.
Vivek Arya: Thanks for taking my question, and congratulations on the good execution. Hock, I understand and appreciate keeping the focus on longer-term trends, but just because removing the guidance on a quarterly basis is a big change. Just for this quarter, could you give us some color on how Q1 trends are shaping up especially, given all the concerns around trade and tariff and your largest customers. So, even if you can’t quantify everything, if you could just give us some color commentary on what’s going on in different segments in Q1, that would be very helpful?
Hock Tan: I’ll give you the answer, it’s okay. Remember, we have backlog out 18 weeks for most of our products, that’s longer than a quarter, which runs 13 weeks. And based on what we have in place, it’s running pretty – trending pretty well compared to Q4, okay. And keep in mind, it’s – there are puts and takes even in all of this. Broadband starts to recover, as I mentioned before, finally, long last, and networking, offload computing is still nicely holding up, but handset, wireless, you’ve seen it out there, we expect to see a seasonal down-take. So, storage flattish back to moderation. So, all combined together, things are kind of what it is, okay.
Operator: Thank you. Our next question comes from Aaron Rakers with Wells Fargo.
Aaron Rakers: Yes, thanks for taking the question. I want to understand maybe the puts and takes a little bit better in the software – infrastructure software guide. If we look at CA’s results on a standalone basis, it looks like they’re about 3. – call it $5 billion. You’re stripping out the services business. You’ve sold Veracode. So, can you help us bridge a little bit more the uplift you’re seeing from that level of revenue to that $5 billion guide for the full-year? Thank you.
Tom Krause: Hey, Aaron, it’s Tom. I think, keep in mind there are now two substantial businesses, I should really say three in that number. As you properly pointed out, there’s the CA business for a couple of data points. Veracode run rate business is about $150 million a year and it was growing, and we’ve outsourced the services business, so that business will start to tail off through the course of 2019 and largely be gone in 2020. But then keep in mind also, there’s Brocade, the SAN fiber channel switching business, which is performing very well for us. We’re not breaking out the specific revenues for that particular business, but it’s also providing a substantial portion of the overall $5 billion. So, in total we see a reset in the CA business starting in Q1. We do expect based on the renewal expectations around our core 500 customer base to grow throughout the year with CA, and we also expect to continue to maintain reasonably high levels of revenue with the Brocade fiber channel business.
Operator: Thank you. Our next question comes from Amit Daryanani with RBC Capital Markets.
Amit Daryanani: Thanks for taking my question, guys. When I think about that $2.5 billion operating profit target from CA, can you just talk about that timeline to achieve that? And when I look at the accretion or the incremental contribution you get from post CA, the accretion I guess, how much of that is going to come in cost versus OpEx for you guys?
Hock Tan: Well, very interesting question. Let me outline again what I went through in my remarks fairly quickly. And as Tom actually articulated earlier in answer to a question, we start 2019 partly because of a resetting from recognizing perpetual licenses on a salaried manner to ratable subscription-based revenue recognition. ‘19 will take a step down from what you typically expect the rate to be and it will rapidly build up over the next 2, 3 years to the level as we spoke about closer to over $3.5 billion. On the spending side, if you recall, before we acquired CA the last quarter, stripping out services, taking out services which was a wash, spending – total spending was about 2. – about $2.4 billion, $2.5 billion per year. We’re bringing it down to $900 million. And we are able to bring it down to $900 million is for one, I purposely articulated in my opening remarks, okay. A large part of that $2.4 billion of spending was attributed to the various sales motion, development motion, I should say, of trying to land new customers, as well as land existing customers with new products, but basically landing new customers. And a lot of these customers are, I would consider, the long tail of a long list of customers. The largest 500 customers in the world are already our customers through mainframes. But a big amount of that spent, I would guess what we’re saying is to the tune of more than $1.5 billion at least, sorry, above – of spending $2.4 billion, sorry, $900 million is the end part [ph], so, $1.5 billion is used to try to develop new products and land our new customers. By moving away from that, focusing on the largest 500 customers, we’ve renewed most with mainframes, but up-selling on enterprise software. We basically get to the same revenue number with much less spending substantially. And that $3.5 billion, say as conservatively we get to in year 2 or year 3 from today and less the $900 million state is – end-state spending is where we believe we get to around the $2.5 billion operating profit target.
Operator: Thank you. Our next question comes from Toshiya Hari with Goldman Sachs.
Toshiya Hari: Great. Thank you so much for taking the question. Hock, you talked about your intention to regain share in the RF business next year, I think that’s consistent with what you had said three months ago, I appreciate the time you spend with your customers in designing these products and you probably have some visibility, but I was under the impression that the SKUs for next year hadn’t been set, so I guess the question is what gives you the confidence that you can indeed regain share in that business? Thank you.
Hock Tan: We are just confident. And obviously we have not been idle, we have been working. And because these are very difficult products, very complex, technologically proving, advanced products to do and we have been working on it for over 1 year with customers.
Operator: Thank you. Our next question comes from Harlan Sur with JPMorgan.
Harlan Sur: Good afternoon. Thanks for taking my question. Hock, you talked about continued strong trends fiscal ‘19 in networking demand, cloud and enterprise, I was hoping you could quantify a bit more, next year it’s still looking like the cloud guys are growing their spending again albeit at a lower rate versus this year, but then you were there on the 200 gig, 400 gig upgrade cycle with Tomahawk 3 and then you have got the ramp of some of your AI and deep learning and SmartNIC ASIC programs, given all of this, I kind of wanted to know if the team still feels like they can sustain double digits year-over-year growth rates for this segment fiscal ‘19?
Hock Tan: Very good question. Thank you. Yes, cloud – public cloud I call it, has been part of our networking, compute offload business, so to speak. The public cloud side, which is about half or at least half of our revenues right now in that sector that does networking and of compute offload continues to be extremely strong. And it’s strong not because of anything else, in 2018 we didn’t launch any major new milestone products and we still grew. As we indicated, we grew double digits. 2019 we have in addition to that natural momentum, the addition of the fact that we are launching both two significant products. The top of the rack switch, the Tomahawk 3, 12.8 terabyte – terabit per second, three throughput switches which are very welcome, very – basically will be very much in use by the hyper cloud guys. That will be a big driver of growth. In addition, but perhaps in use in some of the spine architecture of those hyper cloud data centers, but more on adjusted more so at operators for their routing applications. We are launching middle of the year Jericho2. So we have two product drivers on top of the natural momentum of increasing content that we are seeing, that you articulated in those data centers at the cloud, from – especially from compute offload, where we are talking about more than controllers. We are talking about deep learning content. We are talking about compression encryption. And we are just talking broadly about anything to do with offloading CPU cycles from server. And that’s a very long-term tailwind that we have basically been able to take advantage of and continue to benefit through probably more than 1 year.
Operator: Thank you. Our next question comes from Romit Shah with Nomura Instinet.
Romit Shah: Yes. Thank you. Tom, I just wanted to make sure I had my facts correct on the option grant, so $2.1 billion for fiscal ‘19 and you have that coming down over – is it over a 4-year period and does it go back to the fiscal ‘18 levels or some level above that? Thank you.
Tom Krause: No, I think that’s the right way to think about it Romit. It’s a 4-year grant accelerated and done in one shot this year as opposed to doing it over 4 years. So in aggregate you wouldn’t have any difference, but from an accounting perspective you will have to take all the step up this quarter. It will start to bleed off next year and decelerate back to where we were over a 4-year period. So I look at the 2018, $300 million a quarter type stock based comp run rate as the run rate roughly for the company on a steady state basis.
Operator: Thank you. Our next question comes from William Stein with SunTrust.
William Stein: Great. Thanks. Congratulations on the quarter. Thanks for taking my question. I am particularly focused on the dividend, there was a significant increase this quarter and when we contemplate the company’s ability to grow the top line long-term, expand margins and your capital allocation plans save any further M&A, what does management expect the sort of long-term growth rate of that dividend to be?
Tom Krause: Sure Will. So I think we have spelled it out fairly clearly both on the policy in terms of returning the 50% of free cash flow from the prior fiscal year. And we have spelled out now what we think we can do from a free cash flow from operations perspective in 2019, which is the $10 billion. So when you take into account the buyback expectation that we have also articulated of approximately $8 billion, the outstanding shares should come down, as well as the free cash flow is going to go up. So when you do that math, you are going to come up with a number that’s north of 20% in terms of potential for dividend growth. Now, going forward we will have a couple of other tailwinds that we have benefited from in the past, which is frankly M&A and the accretion that we drive once we are fully integrated and restructured. And so as Hock has been articulating, when we get to the $2.5 billion plus of operating profit, that’s going to start to be realized in 2020, into 2021. Absent additional M&A, we would continue to focus not just on the dividend but also the buyback, which would allow us to reduce the share count as well. So I think we have a good setup to continue to be able to drive the dividend well into the double digits over the next several years.
Operator: Thank you. Our next question comes from Stacy Rasgon with Bernstein Research.
Stacy Rasgon: Hi guys. Thanks for taking my question. I was wondering if you can elaborate a little bit on the all you can eat model that you are developing now for the enterprise software business, does that basically works one license that a customer takes for anything that you buy going forward and put into that segment and if that’s true, how do you grow the business without taking those rates up over time if you are still selling to the same customers, what does that model actually look like over time?
Hock Tan: Yes. That’s a very good point. And you are right. We provide that enterprise wide license to those core customers only, by the way product by product. Obviously, it’s not across all our enterprise products at the same time, but it’s only when the customer is adopting it. And so that part of it becomes very important, you are right. If a customer is one of those big core customers, adopts say agile operations, one of our agile operations, software or agile what we call rally which is for projects. And they want more seats, they want more capacity, what we will provide is for a license contract of a – on a multi-year basis, we expect to get a certain amount of dollars, as you say and we will give them under that enterprise wide unlimited license. And you are right, so for that particular product limited ability to increase, except on the fact that after say, the contract is 3 years, end of 3 years inflationary improvement and improvement in our product, innovative improvement in not putting more features in the product. But we would better be selling them another product on the same basis and that’s how we expect to be able to grow. And so from two fronts improving the product we have on an ongoing basis, but also selling the customer another product from a very broad suite of enterprise software products.
Operator: Thank you. Our next question comes from Craig Ellis with B. Riley FBR.
Craig Ellis: Thanks for taking the question. I will echo the congratulations on the good execution. Tom, I think it was in your comments where you mentioned the aspiration for 55% operating margins in fiscal ‘20, but since that would represent a 400 basis point increase from what you are targeting in fiscal ‘19, can you just walk us through some of the assumptions that could lift the operating margin level of that magnitude? Thank you.
Tom Krause: Yes, good question. So there is a number of things with that. I think first and foremost, we do continue to see the ability to grow the business. In the core semiconductor business, we do expect especially as wireless recovers in the back half to see a return to more standard mid single-digit growth rates in 2020. On the software side, as we continue to grow into the ratable model, we also expect to continue to see growth there in 2020 and into 2021. And then as is consistent with what you have seen over the last many years, our model is very focused on gross margin expansion. We will continue to drive incremental expansion in gross margins, especially on the semiconductor side. And then finally we have talked about it a lot on this call, but we are going to be reducing expenses dramatically with CA and we are doing that because of a change in the business model and the focus on the top 500 accounts, the focus on leveraging mainframe with these great enterprise products and moving to a fully ratable model. This is a much lower cost, much more profitable way to run the business. And so you are going to see the benefits of that in 2020, which will actually continue to show progress even into 2021, I think. So, 55% operating margins we think is very achievable as a result of all those factors as we look out beyond ‘19.
Hock Tan: And to be specific, Craig, this fiscal ‘19 when we buy a company, especially as complex and large as CA, it takes us a year or two to transition through the end state. Fiscal ‘19, I would estimate we are carrying something like $1 billion of transition expenses in fiscal ‘19 alone. Now, it won’t all evaporate by fiscal ‘20 but a big part of it will evaporate by fiscal ‘20 and that with the revenue increase Tom was talking about gets us to that 55% operating margin.
Operator: Thank you. Our next question comes from Craig Hettenbach with Morgan Stanley.
Craig Hettenbach: Yes, thanks. Hock, just a question, any particular feedback from large customers now that you have Brocade and CA together, anything you would like to discuss in terms of some of the synergies and overlap of customer base and things you can do?
Hock Tan: Great question. Yes, I have met with quite a few CIOs, Chief Operating Officers and CIOs of fairly some of the largest customers of CA who happens to be coincidental or otherwise the largest end use customers of Brocade as well, which is SAN switching. And you may know, we have mentioned in prior quarters, SAN switching, which is attaching to storage arrays is very, very connected to mainframes as well in hardware and software the way storage is done. And basically, all this custom CIOs, a lot of them are as you well know thinking through the high levels of IT spending each of them has to go through. Each of them are trying to figure out what’s the best structure, architecture for their data centers. And many of them are regulated, which means they can’t go completely to the cloud. So, a lot of them are going – are talking about as we all hear hybrid cloud a lot more of them are thinking of building their own private cloud. We have all the technologies, hardware and software to enable them to build those private clouds. And each of those CIOs in these larger companies who are spending several billion dollars at least a year in IT are quite able and have the scale to do that. So, there is potentially a lot of synergies and it’s not just in the technologies we have and collaborate as one. It’s also the go-to-market model that will be very much simplified as we now reach out to those end user customers who are in CA, who are in Brocade and who indirectly develop building or buying big data centers, compute, storage, networking indirectly from us. So, there is a lot of synergies and we have begun the process of engaging in a dialog.
Operator: Thank you. Our next question comes from Vijay Rakesh with Mizuho.
Vijay Rakesh: Yes, hi guys. Hock, you mentioned all-you-can-eat model for software. I was wondering if you continue to do more M&A on the software side that you can stack on that same model? Thanks.
Hock Tan: That’s a great idea and we definitely want to do that, because we developed with CA the platform, that platform for support, ensuring customer success and a platform for directly touching, engaging – in fact, heavy touching I call it on those largest 500 customers. And as we add on more products, software products, be they particularly on enterprise software, we believe this is an opportunity for us as we say to build on that second revenue – complementary revenue stream in infrastructure software.
Operator: Thank you. Our next question comes from Ross Seymore with Deutsche Bank.
Ross Seymore: Hi, guys. Congrats especially on the cash return side. Hock, I wanted to ask a bigger question, with all the uncertainty in China trade and macro, etcetera, you mentioned you have the 18-week backlog and that the first quarter I think is doing fine to paraphrase what you said. Have you noticed any change in any of the various end markets that you have given these uncertainties in the customer behavior in anyway, shape or form?
Hock Tan: Yes, I am sure they are. But I think I am not sure if some of it is related more to macroeconomic variations in those niche markets we deal with versus the bigger concern with respect to tariffs is what I think you are referring to. It’s hard to tell. But as we said, we across so many different end markets, niche markets some of them we do see some of them, your question is, are they all consistently trending down? No, we do not see that, but we do see some that are down and we do see some that are up. And is that an indication that is tariffs versus just very typical macroeconomics can’t really tell, some of the color that I have given you guys almost, are not affected by those. For instance, broadband recovery, I think it’s more tied to the lumpiness and the cycle of carriers and operator investment, especially in Europe and U.S. more than anything else and we are benefiting from that. Meanwhile, cloud spending be it in the U.S. or China is still unchanged and it’s still going on very well. Enterprises, maybe we start seeing some level of slowdown in enterprises, but that’s only down to a small part of our broader system. So, it’s a lot of mix. And at the end of the day, it’s not that clear yet how this will affect the business we are in which is largely enterprises and operators. Our exposure to consumer is limited to those couple of these high-end phones and in that regard, as we all have seen the phone market has not been exactly very strong these past several months.
Operator: Thank you. Our next question comes from John Pitzer with Credit Suisse.
John Pitzer: A lot of my questions have been answered. But Hock, just to follow on to Ross’ question, you made some comments about cloud/hyperscale and that’s clearly an area where I think growth has been particularly strong this year and there is some investor angst about whether or not from these high levels that can be sustained into ‘19. I’d love to get your view on that, and as you answer the question, I’d love to get sort of a differentiation between kind of your core Ethernet business and maybe some of your new emerging ASIC business you have with the hyper scale guys, especially around acceleration in AI and how that’s playing out?
Hock Tan: Okay, two questions. Let’s try the first one. The cloud guys, as we see it, the spending is still going on. I mean, their spending pattern to some extent almost is starting to track or copy those of operators, they get lumpy, they don’t spread evenly across a year. But if you take that, that’s part of the reason why we want to go to an annual thing, because if you do it quarterly, it’s not driving me crazy, it’s driving you guys who track us crazy, because it gets very lumpy, especially with the level of spending they’re all coming in and the level of spending we – they make on our products. But if you look at it across a period of a year, they are sustaining and they’re sustaining, and I really mean the high, the large cloud guys, which includes both China and U.S., but also even the Tier 2 guys. It’s still sustaining. And part of it is also content. We are selling them more and more stuff, as we say, products. It’s not just switching and to some extent routing, it’s not just switching that we started with initially, it’s – which is what I highlight, and it’s not newer generation of switching as they go to scale out of the data centers and higher capacity switching. We sell interconnects like fiber optics and we – and that’s – as it goes from 10 gigabit to 100 gigabit, now 100 to 200 and 400, the price point, the content of those fiber optics goes shoots up fairly exponentially and very nicely. And then we also do this computing offload, which is really a nice description or broad base of, as I say, you call it accelerators. And true, they are mostly accelerators and deep learning chips, network Ethernet controllers, SmartNICs as some people call them, encryption, compression, video deliveries, chips, all those go and build, the content keeps growing up. And that’s why there’s some level of – when you pull it all together, where do you see cloud going? And as I said, most of these are not one generation or one year at a time, they go beyond one year. So, overall, we see it as a continuum that is growing. How fast does it grow? It’s that 20% I mentioned in Q4, seems somewhat unusual, but that’s because of the lumpiness and that’s why we don’t want to give you guys the wrong impression, because the quarter before it was closer to 10%. And on average, I would say the cloud guys grow more likely in the high single-digits to 10% year-to-year than a 20% that any particular quarter might mislead us to think, but it’s very stable and it’s there to replace to some extent, the enterprises, the traditional enterprises.
Operator: Thank you. Ladies and gentlemen, we do have time for one final question, which will come from Timothy Arcuri with UBS.
Timothy Arcuri: Hi, thanks. Tom, I’m just trying to get kind of an apples-to-apples bridge on the $24.5 billion relative to the $23.9 billion that was shown as a pro forma in the presentation for the CA deal. I know you’re losing Veracode and you’re losing some of the stuff around HCL, but you’re also getting a bump from the change in the model in the software business. So, I’m just trying to get a bridge on the apples-to-apples on that $24.5 billion relative to that $23.9 billion that you showed in the presentation? Thank you.
Tom Krause: It’s a challenging bridge only because you’re talking about, first of all, two accounting standards with 605 versus 606 on the CA side. But be as it may, I think the right way to think about it is the $24.5 billion. We’ve talked a lot about where we think semiconductor growth will be. It’s a new way of reporting for us, but we think we’re going to have modest growth on the semiconductor side. And then you’ve got two businesses, you’ve got CA and Brocade, which is constituting the $5 billion that we’re building up on the infrastructure software side. So, we’re quite comfortable based on modest growth in semis and we have articulated I think quite clearly how we get there on top of what at end of the day is a solid Brocade business plus a restructured and reset CA business and that’s how we get to the $24.5.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect and have a wonderful day.